Operator: Good morning, ladies and gentlemen. Welcome to Fourth Quarter and Full Year 2024 Earnings Call. This conference is being recorded, and a replay will be available at the company’s website at auraminerals.com/investidores/. The presentation will also be available for download. This call is also available in Portuguese. To access, you can press the globe icon on the lower right side of your Zoom screen and then choose to enter the Portuguese Room. After that, select Mute Original Audio. [Foreign Language] [Operator Instructions] Before proceeding, we would like to clarify that any statements that may be made during this conference call regarding the company’s business prospects, operational and financial projections, and goals are the beliefs and assumptions of Aura Executive Board and the current information available to the company. These statements may involve risks and uncertainties as they relate to future events and therefore, depend on circumstances that may or may not occur. Investors should be aware of events related to the macroeconomic scenario, the industry and other factors that could cause results to differ materially from those expressed in the respective forward-looking statements. Present at this conference, we have Rodrigo Barbosa, President and CEO; and Kleber Cardoso, the CFO. Now I’ll turn the conference over to Rodrigo Barbosa. You may begin your conference.
Rodrigo Barbosa: Good morning, all. I'm glad to be here again with all of you. We are now presenting, the Q4 and the year end of the 2024, which we'll see, was extraordinary year in terms of results and also not only that, but also setting the stage for us to continue to grow in 2025 and then 2026 and so on. As usual, I will cover the main results and what advancements we made during the year, and then Kleber will step in in more details on the results. So if we go to the executive summary on the highlights of the year, there was a busy year that we accomplished significant milestones. But before I go to the milestones, let's go quickly on the results. We doubled the EBITDA from achieving now $267 million, with the gold price slightly below $2400. Today, gold price is already $500 per ounce compared to what we achieved the last year. So you can imagine that if Gold continues to perform at this level, we will have a significant impact on the EBITDA for the 2025, not considering also the startup of, Borborema. In terms of, our in sustaining cash cost, we finished the year of $1,373 per ounce. We will also -- we are closing and sharing the guidance for the year. We'll see the guidance for 2025 slightly above what we performed in '24, but mostly because for Apoena, we will go through two years of pushback and investment on the peak so that we can, after two years, resume to the normal levels and that will also bring our well in sustaining cash cost below our average. And as we could see, Almas was a full production. It's an ordinary year for Almas despite the challenges we had, when we changed the contractor, and already with always sustaining cash costs, significantly below the average of the company. In terms of, Borborema, the year we also made a significant progress in 2024, continue to do in 2025. We are a % already committed with the budget and investments, so we do not expect any overrun and we are very much in line to start the ramp up now, in March and then commercial production to the second semester. So we performed well in the operations. Of course, we did have challenges in Apoena. Mostly comes from the delay on environmental permits that was already granted early this year. But also, Minosa was a very interesting year where we could continue to improve our operations. We could expand more, the pads. In Almas, during the second semester, we also expand capacity so we could increase production. You will see on Q4, we reached a record high production for Almas's, with over close to 17,000 ounces of production, and then Aranzazu very much in line with our expectations. As important as the good results, go back. We also made -- one slide back. We also made significant progress in exploration. We're now thinking and already budgeted to start, investing in the underground, for Almas. We made that acquisition, in Bluestone, which we closed in January. We also invest in exploration, and we will release our new resources and reserves, by the March on the AIF with good progress in most of their operations except Minosa where we are not yet investing much in exploration. But Serra da Estrela, Apoena, Aranzazu, and Almas, we will see progress in all of those assets. We also announcing, for dividends, a new now we are paying quarterly basis at $0.25 per shares. And, if you look what we've done in 2024, it's very much in line with what we've been promised with the market that we would grow, we would pay dividends and we would unlock value in three different areas. We will unlock value through execution of the projects -- greenfield projects, putting new projects online on time. We will do improvements in resource and reserves and also grow in M&A so that we can continue to grow and narrow the gap of discount of NAV. So we did all. We could increase production. We could, increase resource and reserves that we will see on the AIF. And then third, we also performed an M&A. All of this while we continue to pay dividends, which put Aura as one of the highest dividend yield companies in the gold sector, in the world. So it was a very important year that now sets the stage for us to continue to grow in 2025 with a larger than Almas's project, both Borborema coming online during the year. As we always disclose and, we're as we also believe, good results always come with good safety standards. We are super proud to be within two years building one mine and ramping up -- building two mines and ramping up, one production along with the other operations with only one slightly, lost time incident during two years, which is a benchmark in the sector in the world of so where our safety standards are very much in line with our good results. Good managed companies do both. Good results always comes with a good safety standards. And also on the structures of, geotechnical, the pits, the underground, the tailings dam all-in line with the satisfactory stability conditions. So during the year, we achieved the 267,000 ounces of, gold equivalent production. It would have been above that, but the conversion for, conversion for, copper to gold decreases the gold equivalent as the gold price has increased significantly. But that if we were not, this would put us on the high end of the guidance. Although the 267,000 ounces is also very much in line with the guidance meeting what we promised to the market since early 2024. On the quarterly basis, Aranzazu very much in line with the previous quarter, very much in line with the mine plan also affected by which is good higher gold prices. So that's why you see a decrease in gold equivalent production. Apoena, this is where we faced the most of the challenges during the year, with delays on the on the environmental permit to enter in a higher-grade area, then we had to divert to a lower grade. Now we got this permit. We will prepare the mine. But with the combination with the mine plan, we will see the next two years on the investment process so that we can resume to the normal level of operations after two years by 2027. Minosa, another very important quarter with 19,000 ounces of production compared to 21,000 in Q3. That is Q3, we were we had below expectations range and Q4 very much in line with expectation range, but that is slightly variation that will happen and it happens in Minosa along the quarter, but very important that we could produce above 18,000 ounces on every quarter during the year. And what we were glad to see also, Almas performance extremely very well, and actually above our expectations. And now we're reaching 17,000 ounces of production with a very with below our average, all-in sustaining cash costs as we'll see then. Kleber is going to show Almas already given an important part on the EBITDA of Aura. And as you can imagine, Borborema is coming online, with a similar project but bigger, but it's open pit CIL, average grades and strip ratios about the same. So we can see then now Borborema coming in online, with very important results bringing to our during the second semester and then more importantly, next year. So the four all-in sustaining cash cost, we finished the year at $13 and $20 per ounce. And then we are now which was very much in line with the guidance. Actually, it was on the bottom of the guidance as the production was above, was on the top end of the guidance, then the all-in sustaining cash cost was also at the bottom level -- bottom end of the guidance. So now together with the results, we are also, releasing the guidance for the year. So we saw the production of the year 267,000 ounces. Again, if it were not by the increase of gold prices during the year, we would have produced at 276,000 ounces. And then now the guidance with the new, projections of gold will be 266 ounces and 300 ounces. That's the bottom of the guidance, the same level of 2024. That's mostly because we see Apoena will as I mentioned to you, we will have a lower than the average production during this phase of investment while Borborema is coming online and producing mostly in the second semester. But the upper range, we also continue to see improvement in our production. In terms of all-in sustaining cash costs, I would highlight that the all-in sustaining cash costs, the guidance is above what we performed in 2024, which is not intuitive. We also mentioned that we can our new project that's coming online has a below, average all-in sustaining cash cost, but that mostly because in Apoena, in which we will go through an investment phase and that investment goes to all-in sustaining cash costs, which we will then amortize those investments after we push back the pit and then resume to normal levels of production. If we were not, the impact of Apoena, our guidance would be 12 and 41 to 13 and 53 in line what we performed at '24 with a possibility also to decrease compared to 2024. Understanding that in Borborema, we will have only, part of the second semester in commercial production. In terms of our CapEx, as we could see in 2024, we well, the year that we've mostly spent building Borborema, there are remaining, expenses, the remaining investments that we already did, but new payments that should be done in the upcoming month for Borborema, in 2025 so that we'll see also a decrease in the in the CapEx or in the guidance. Yet it's important to share with you that, we're not including yet here, Matupa in other expansion or Bluestone or other investments once we are now narrowing down the details of the investments. And once we approve any of the new investments, then we will include the CapEx in our projections and then also disclose with the market. As I mentioned to you, Borborema, it's very much in line with budgets, very much in line with the schedule. We should be starting the ramp up now in March and then commercial production in during the second semester. The economics as this project gets better every day, of course. When the gold prices increase, we increase the NPV. But not only that, but also we continue to have very close conversations with the government authorities to relocate the road, which we'll be able then to practically double our reserves. But yet only with what we have of reserves as of today at 812,000 ounces. With a gold price of $2,600, this project is already generating a $540 million of NPV, with gold prices already above the $2,600. And we have strong reasons to believe that the road will be relocated soon so that we can also increase and put all those numbers in our feasibility studies. So with that, I will pass to Kleber that we will throw on the results, and then we come back with Q&A and a brief summary.
Kleber Cardoso: Thanks, Rodrigo. Good morning, everyone. We can go to next page. We start, as usual with a summary of the our main financial KPIs, both for the current quarter, the previous few quarters, and accumulated for the last 12 months, of each reporting periods. On this quarter, we achieved a hundred $72 million in revenues, significantly improvement compared to the previous quarter. That's mostly because we are able to keep the amount of shipments in gold equivalent ounces. And because of the average gold price in the fourth quarter was higher than on the third quarter. Was both were achievable for record high, both in the net revenues for the quarter and for the year that we're closing at $594 million, the revenues for 2024. When we move it to the adjusted EBITDA, it was also a part of records. For the second quarter in a row, we achieved our highest quarterly EBITDA ever required at $790 million and closed 2024 at $267 million. Moving to the bottom, KPIs on the net income, we're reporting a profit of $17 million on this fourth quarter, reverting losses that we had in the last previous four quarters, losses which were mostly associated with non-cash losses related to the gold hedges market-to-market. As the gold prices fortunately increased since the end of 2023. We had those no cash losses throughout the quarter, and in this fourth quarter of 2024, although the average gold price increased in the quarter, the gold price remains mostly stable between the beginning of the quarter and the end of the quarter. So I'm going to show more detail. We even had a noncash gain, associated to this. And then in terms of cash and net debt, we see a significant increase in our cash position by the end of the quarter. We closed with $270 million in cash. That's mostly, because of the that we issued in October. We issued a billion reais about, close to a $180 million in the fourth quarter. A portion of that cash what is used to pay other credit lines with shorter duration and higher costs, improving our debt profile, and a portion we remain in cash at the company. Our net debt achieved $188 million dollars by the end of the year, and I'd like to highlight, which it was a very positive, performance. It was our net debt over EBITDA. We see that it has remained stable for the whole year. We closed at 0.7x despite the fact that that in 2024, we're spending most of the cash to build the Borborema project, and it also kept paying dividends and doing share buybacks. Here we bring a bridge explaining the main items between the adjusted EBITDA and net income, and the adjusted net income of the quarter. On this quarter, the biggest star was Almas, which achieved the $31 million in EBITDA, was our highest EBITDA among all the business units. Again, as Rodrigo said, it's a big accomplishment considering '24 was the first year of full operation. Close behind the Aranzazu and Minosa with a strong performance as well, $25 million and $24 million EBITDA. In Apoena, as we go through this transition, had a weaker EBITDA of $6 million in the quarter. When we see amortization depletion at $14 million, those expenses came according to our expectations. The financial expenses on this quarter was lower than we saw on the previous quarter $10 million. Again, because we didn't had market-to-market losses, we have to go to derivatives in this quarter. The biggest item below the EBITDA on this quarter was the income tax expenses. We are recording $40 million in expenses, most of each are deferred taxes, $16 million current income tax expenses and $24 million are deferred tax expenses. And, most of those deferred tax expenses are watched as called the deferred tax of no monetary items, which is basically an accounting pact with no current or future cash impact, basically following accounting rules every time the Brazilian Real Mexican peso appreciates or depreciates. We have to record the gain or losses in your P&L. And, as we all know the Brazilian Real depreciated significantly throughout the fourth quarter and then created $16 million in non-cash losses in your P&L. With that, we closed the quark with $17 million in net income. And then between the net income and the adjusted net income, we exclude the items that have no cash impact. First, as I mentioned we had a market-to-market gains with gold to derivatives, then we exclude it from the net income. The effects this quarter was smaller than we saw in the past. Despite the depreciation of the reais. It impacts working capital between assets and liabilities. The impact was immaterial, and we bring it back those nonmonetary items of deferred taxes, bringing them the adjusted net income to positive of $25 million in the quarter. Looking at the same analysis for the year. So for the year, three -- Aranzazu, Minosa, Almas all three with consistent and strong performance, generating EBITDA. Amortization depletion, $62 million expenses, on average $15 million per quarter, pretty much stable. When we look at the year, the main item below the EBITDA was the financial expenses, a $153 million. But, yeah, for the year, that is explained with the more than half of that $80 million is explained by the noncash losses with the gold derivatives. In the income tax expenses, $82 million, about third is deferred. When we look for the year, we have about $50 million income tax expenses as a result of having strong results from our operations, bringing the net income to a loss of $30 million in the year. But doing the same analysis, bringing back the market-to-market losses of the gold derivatives, the effects that for the year had a bigger impact. And, again the nonmonetary items on the deferred taxes, we closed the year with $82 million in adjusted net income. Now moving from a P&L analysis to more cash analysis. Here, we bring a detailed analysis on the on the change in our cash position throughout the fourth quarter of the year. Here on the left side -- far left side of the page, a bar in red, it's our cash position at the beginning of the fourth quarter, $196 million. Then to this left half side of the page, we have what we should call, adjusted free cash flow to firm, which is the free cash flow to firm and generated by the four miners in production, not including ads, the investments to grow the company. We see was a strong partner. We generate $67 million in the mines in in production. Here, you might notice there is an item called the realized losses with gold hedges. So up out of the $67 million, we are red, we had $5 million realized losses. So when we saw the EBITDA, we excluded no cash impact, and here in the cash we're including the cash impact. Those $67 million more than enough in the quarter to pay for an investment for growth, which consumes $64 million, mainly the final phase of construction of Borborema. And more to the right side of the page the financial items -- the biggest one is the net proceeds from debts and loans. Again, it's the cash that was remaining after we issued the Almas debentures and prepaid some credit lines. And, I would highlight as well that in fourth quarter, we returned to our shareholders $21 million between dividends and share buybacks. And then, the same view for the whole year, we see the mine is generate a $195 million. Comfortable more than enough to pay for all the investment for growth that consume a $106 million. And this, of course, Borborema is the main item, but we also invested it to continue developing Carajás and exploration in your business units. And then here to the right side, the same items, proceeds from that also explained by the Aura Almas debentures and also, we returned the shareholders $56 million in the whole year of 2024 between dividends and buybacks and closed the cash at $207 million. And this will end our presentation, open up to questions. Thank you.
Operator: We are going to start the question-and-answer session for investors and analysts. [Operator Instructions] Our first question comes from Ricardo Monegaglia with Safra. You can open your microphone.
Ricardo Monegaglia: Hello, everyone. Rodrigo, Kleber, Natasha. Thank you for taking my questions. I have three actually if I may. First one, is it too soon to anticipate what will come from the new reserves and resources report in the end of next month or the April? It's my first question. And if there's any news on any area that you're expecting a license that could add to your reserves. My second question, if possible, I want to get more color on the expansion of CapEx guidance or maybe a clarification. So how much of the figure is represented by the development of Nosde Phase 3? And maybe how much investments coming from Nosde Phase 3 as well. Could we expect, in 2026 since the completion is expected for the end of 2026. Right? And my last one on Minosa, you said that the cash cost guidance, which is higher than the levels of 2024, were driven mainly by lower grades, but also by reduced mind movement. So I wonder if rains come at similar levels to 2024. Where would, Minosa cash cost reach? At what level within the guidance would Minosa cash cost reach if rains are similar to 2024? Thank you.
Rodrigo Barbosa: Very well. So thank you, Ricardo. Glad you're here. I will take the first and third question, then Kleber can take, the second one. So about the resource and reserves, as I mentioned, yes, it's too soon to anticipate. We made progress in all our mines except, in Minosa, where we are now planning to intensify more exploration, but yet we have not intensified. But, all of those information is going to be on the AIF report that should be released, by the March. In terms of, then increasing reserves in Borborema, that depends a lot on the ongoing conversation with the government and authorities, which we expect to be able to move forward and get the initial permits during this semester by -- until the mid of the year. And we important to mention that yet, we are not including our resource reserves, but at this moment, the reserves of Bluestone is not in any of our reports that we are analyzing, reassessing and as we finish these then we will include on the AIF.
Kleber Cardoso: Okay. I can take the second question on the CapEx -- the expansion CapEx. We don't give detailed guidance on the breakdown on the expansion CapEx, but it can guide you based on information that is already in our MD&A. Out of that expansion CapEx, about, half of that should be to complete the Borborema project. And then the remaining is going to be both Nosde and also to invest in some continual expansions or Carajás. But most excluding Borborema, most of that should be to open the, the Nosde deposits.
Rodrigo Barbosa: And the third one about the Minosa, where you would expect the all-in sustaining cash cost, it would be slightly if we have the same rainfall as 2024, will be slightly above what we performed in '24 due to slightly decrease on the grades. But that's, where we should be if we have a same rainfall as 2024.
Ricardo Monegaglia: Excellent. Thank you.
Operator: Our next question comes from Edgard Pinto de Souza with Itaú BBA. You can open your microphone.
Edgard Pinto de Souza: Hello, everyone. Hello, Rodrigo, Kleber, Natasha. Thank you for the questions. It was a great year for Aura. And we have been receiving a lot of more questions on the name. We think that visibility is increasing for the company. So my first question maybe for you, Rodrigo. We saw this solid performance over the last few months for Aura and also for gold prices. But the main pushback for investors remains the liquidity. So, I wanted to hear from you. What is in your hands to increase liquidity? Anything on the listing side, and how do you balance that with the buyback program? That would be great. And my second question on EPP, we know that EPP is the main drag of your operations in 2025, and it will also be in 2026 due to the open of the pits there in in Nosde. I want to understand how should we think about EPP after you reach the high grade? So how should we think about cost, production, etc., in in EPP in 2025 and going forward. And the last question here, we see a lot of small triggers for the company in the short term, the release of the reshaping of the Matupa projects, the licensing process of Bluestone, and also the approval of the roads at Borborema. If you could give any color on any update you have on those three fronts, it would be great. Thank you very much.
Rodrigo Barbosa: Okay. Thank you, Edgard. Nice to have also you here and glad to hear that investors are paying more and more attention, not of which they should because we are progressing, very fast with our long-term project. So, the first question you made is about liquidity. Yes. I think this is, our major point that we are paying attention. We also receive same feedback. While the story is good, Very few companies can do what we can, which is growing, reduce cash cost and pay dividends, but yet the liquidity avoids major shareholders to come in and out at the speed that they would like. So this is a well-known issue for us. We are taking initiatives to address share buyback. I think it's a small portion and, it's there's no other there's no better investment that we can do yet than buying back our shares. But this is buying back the shares is not what is going to either jeopardize the liquidity or also or save. I think we need to think broadly, and how to address the liquidity. And, as you know, we continue to look M&As. We have significant projects that you build on Matupa, perhaps Cerro Blanco. So we would continue to monitor the market to see, if there is any chance to do -- to put more shares in the market as long as it's accretive to all the shareholders. I think that would address significantly the liquidity and then also can help with narrowing the gap. But to do that, we need to make sure that we will be at the right price and that the investments of the capital use that we're going to do, it's on average of our price per NAV. So we don't have a dilution to our shareholders in the terms of not generating end value. But we are considering also, which is no news for any, where should we be, better located? Where should we focus? Is Toronto, Brazil? Is perhaps New York a place that we should be in the United States or not? So all those conversations are ongoing, because we want to address this. Right? But we're the challenge we have is that we have excess of cash as of now, so we don't need to issue new shares. But if we have and we have a good user proceeds, that is something that would really address, this this, this problem. So that was the first question. The second one was?
Edgard Pinto de Souza: On EPP.
Rodrigo Barbosa: How On EPP. Yeah. EPP, we will be releasing on the AIF the new mine plan, the new production level that we can achieve after the pushback. But we already performed in average grades in the past. So if you look at how we performed in '21, '20 '23, It can give you some guidance in what kind of are we in sustaining cash we can perform at the company, but we'll be running all of those numbers on the long term and disclosing to the market as we finish these projections. And the last one?
Edgard Pinto de Souza: If you had any update on the moving of the road in Borborema, Matupa, when will you expect to release the reshaping of the Matupa projects? And any news on Cerro Blanco?
Rodrigo Barbosa: Matupa, we are -- I think we have a very and you touched a very interesting point. Matupa is a project that we are finalizing now, in terms of understanding, the influence of Pezão, Pé Quente, Serra as we still need to advance more that, the state of Matupa will also change the procedures of the environmental license, more digitalized, which is good. But during this process has been some of the permits has been delayed and Serra has been delayed. We are but we are continuing to do exploration but at a slower speed because we have to access in different areas. But we expect to be more mature in Matupa by mid of this year, between second and third quarter. And that is would be good because we are also assessing and progressing, understanding how to unlock Cerro Blanco. We are we projected that it might take several years, but yet we need to really understand how to address the issues. Cerro Blanco has is already fully permit for on the ground. The permit for open pit is being challenged by government authorities. There is important discussions that needs also to happen with the communities, but we are assessing this. I've already traveled a few times to the country. We are understanding more and more about the project and then we will have a good sense about when to start construction and the strategy of that also by mid of this year. Borborema I think would be the same. I think I would say that, until mid of the year, we will have a very good view on the strategy to move forward the company in the upcoming years. And I would also invite investors to really pay attention during the semester because we have a very important milestones that we are achieving. It's initial ramp up of Borborema, then we can also have this situation of getting the permits to relocate the roads. There is important assessment that we are doing in Cerro Blanco. So the big picture and the big strategy that we project to Aura has important milestones happening in the upcoming month. Plus the AIF with progress in all the assets, including also Serra da Estrela.
Edgard Pinto de Souza: Thank you, Rodrigo.
Operator: Our next question comes from Guilherme Nippes with XP. You can open your microphone.
Guilherme Nippes: Good morning, Rodrigo, Kleber, and Natasha. Can you hear me?
Rodrigo Barbosa: Yes. Loud and clear.
Guilherme Nippes: Yeah. Thank you. So thanks for the opportunity, and congratulations on another great quarter. So I have two questions here. My first one, is for Almas. So regarding the guidance, we were expecting lower cash cost considering that the issues that you had, with the contractor during the first half of 2024. And the data for Q4 was close to $700 which compares to the $1,000 in the lower range of your cost guidance for 2025. So, I would like to hear, if there is anything specific regarding this guidance for Almas for /2025? So this is my first question. And just a follow-up on capital allocation. So with the projects that you have now on your pipeline, it seems like you are going to prioritize Matupa now rather than Bluestone. Is that correct? Or if, we can we can see any other news on Bluestone by the end of the year. So you would go on this project throughout the next years. So these are my two questions. Thank you.
Rodrigo Barbosa: Thank you, Guilherme. I will let, Kleber to answer the first question of Almas, and then I will jump back and answer the Bluestone.
Kleber Cardoso: Okay. Sure. Yeah. When we look at the all-in sustaining cash cost of Almas, you're going to see it's stable when you compare year to year. So if you take the range, it's very similar to what Almas produced in 2024. So there is no increase. Of course, if you compare it the fourth quarter, there is an increase, but fourth quarter was exceptionally high. We always say that we need to be careful analyzing just one quarter results. So when you take the full year, that we had some problems in the beginning of the year as well, but then we had exception exceptional performance in the second half. In the fourth quarter, specifically, due to minor sequencing, we are able to reduce significantly the strip ratio. So I would I will I would say it's stable when you look year-after-year. Also, there is no increase in when you see in terms of inflation. It's being basically stable, the cash costs.
Rodrigo Barbosa: So for Cerro Blanco, Bluestone has two projects. One, Geothermal project that can produce up to 50 megawatts and Cerro Blanco, which is the gold mine. It's not that we are preferring in terms of capital location in Matupa, it's just that we need time to assess when we would be able to build Cerro Blanco. Cerro Blanco is a much bigger project and higher grades. So of course we are updating feasibility studies, we're updating, the CapEx, but it's intuitive to think that Cerro Blanco has a significant higher return compared to Matupa. So if both are fully available to start construction, we probably would prefer Cerro Blanco, but we need to assess, we need to do a lot of social work and to understand when, we that would be clear to start construction. So if we see that, say, Cerro Blanco might take a few years to start construction, then we would start the construction of Matupa first and then sequence Cerro Blanco right after. And, again, in between and along the next years, it's still part of our plan to continue to pursue M&As.
Guilherme Nippes: Very clear. Thank you.
Operator: Our next question comes from Marcelo Arazi with BTG. You can open your microphone.
Marcelo Arazi: Hey, guys. I have two questions on my side as well. I was wondering if you could share your thoughts on the strong good performance we are seeing. Do you believe these price levels are sustainable in the in the long term? And my second question, regarding capital allocation as well and given out a slow leverage and solid cash position, should we expect any additional dividend distribution or eventually any form of project or share buyback acceleration. Thank you.
Rodrigo Barbosa: Okay. On the on the dividend, I think we are paying above what we expected. What is 20% -- what the guidance is 20% of EBITDA recurring CapEx. We've been paying more than this. And we should continue to pay this according at least to the guidance. Every time that we feel we have excess of cash, we will pay more. So if we see the company performing above expectations and that forecasting that we will have excess of cash, then we might consider some extraordinary dividends as well or even above what we've been paying as a normal level. In terms of gold prices, I think it's been interesting to see what is happening. And more and more, I think gold has been discussed in different investors, not anymore only investors that are looking for hard assets, but a lot of diversified investors are now including gold or gold companies in their portfolio. There is a big -- I think there's a big movement that is happening in the world, which is central banks is being a longer while that is been buying a lot of gold. China, of course is the largest producer of gold, the largest importer of gold. They do not disclose exactly what they are buying and how much they are putting in their reserves. We see also, movement very interesting and that I think there's no yet a conclusion what why. Right? There's some clues why this has happened, but I would invite all investors. This is a major physical gold movement around the world, unprecedented. Right? So a lot of gold that is coming from going out of the vaults in London, going to United States, going to China, And that might be related to eventual tariff that Trump might put on import golds, which I don't believe that will happen, but some investors want to anticipate to that. But it might be also another reasons. Right? You'll see more and more, the Trump, economies talk about gold, importance of gold, putting more reliability on the on the finance. You'll see now the Trump Administration trying to audit the gold reserves. Trump just mentioned that he would go with Elon Musk on the vaults, Fort Knox and other ones to audit the gold. So that's interesting movement happening around the gold that can even push higher prices to go as it is today. So what is happening in the world is what we also, were discussing along the last years. It's a debasement of the currency dollar and all the other currencies. Gold is all time high for in all competitive currencies and people understanding that gold does have intrinsic value more than any currency because the world has kind of got addicted to printing money. That started with the pandemic, but nobody stopped. So you'll see United States with record high deficits having to print more money. You'll see Europe also with deficit having to print more money and gold is a hedge for everybody that wants to escape from excess of printing money, which is a devaluation of the currency. So but what will happen? It's not gold is appreciated, but the currencies are devaluated for excess of printing. And if you think that it's going to stop very soon, then maybe gold will be in the same price as of today or even decrease. But if you see that the situation can continue, we'll see gold continue to appreciate, compared to other currencies.
Marcelo Arazi: Very clear. Thank you, guys.
Operator: Our next question comes from Ricardo Monegaglia with Safra.
Ricardo Monegaglia: Hello, guys. It's me again. It's, just a follow-up. So, Rodrigo, I wonder if you maybe could give us your perception of Aura's price to an AV and how that compares with comparable peers. Because I imagine that even with the strong, sharp performance, Aura's valuation continues discounted. So it would be great to have a sense of that gap to comparable peers. Thank you.
Rodrigo Barbosa: Thank you, Ricardo. Now yes. It's one had this frustrating for us to see that we are still discounted compared to our peers and that we should change the peers in the future. But, if the Bloomberg and some reports of analysts says that we are close to 0.5x NAV, not including in our NAV, the NAV for Cerro Blanco, which is a major. I'm talking about a multi-million ounces project with a high grade, so that will translate in a high ounce of NAV. So we are around now 0.5x as of the information that we have received from the market. NAV not including in the NAV the Cerro Blanco project, which should be included anytime during this year. I think the main reason that we are now at this situation as it was well asked before is our daily trading volume. Major investors cannot they like the story. We meet with them. They say, well put this daily trading volume double or triple this and then come back. We like the story, we'd like to invest in the company, but if we don't have a speed in or out, we can't invest. Which makes a super good opportunity for those investors that can get in and out our shares because as we continue to grow, as we believe that we can build Borborema now put online all time on budget, that we'll build Matupa, that we'll build Cerro Blanco. We will increase daily trading environment. We will narrow a lot of the gap. On average, the companies that can be similar to us, I would say that is now at 0.6, 0.65 price per NAV. But those, if we go beyond 600,000 ounces, 700,000 ounces, then we get close to 0.8 to 0.9 NAV and above $1 million one time or even more, one more time NAV. So that's kind of the range of the market. We will fight furiously to narrow this gap, but not only this, to change the peers. And we have projects to change the peers. With Matupa and then Apoena recovering after disinvestment phase and the improvements we are doing now in Almas, we will reach 450,000 ounce of gold equivalent production per year, not including Cerro Blanco. Cerro Blanco as an underground can produce close to 150,000 ounces, as an open pit, close to 250,000 ounces, 300,000 ounces. So we have projects that if delivered and built, it's already putting Aura at 600,000 ounces, 700,000 ounces and we continue to do, monitor the market for M&A. So I believe that, the following years, we will not only narrow the gap compared to our peers, but we will change the peers and access significant higher price per NAV compared to what we are today.
Ricardo Monegaglia: Great. Thank you, Rodrigo.
Operator: The Q&A section is over. We would like to hand the floor back to mister Rodrigo Barbosa for the company's final remarks.
Rodrigo Barbosa: Well, thank you all for participating. It was extraordinary year, for us. Just a quick reminder, record high production, record high, revenues, record high EBITDA, record high, cash generation in the year that we made a good progress in Almas stabilized and proved that Almas is a super interesting project. We built Borborema. We made an acquisition of Cerro Blanco. We advanced in exploration. We paid all of these -- paying world highest dividend yield in the world for the gold industry. All of these with benchmark, with safety, all of this setting out a benchmark how to build new mines. Almas was an example in ramp up as well. Borborema very much also in line on time, very short term to build it to start ramp up. So, Aura continued to perform well, as I mentioned to you and then we were discussing here. Still discounted compared to our peers, projects that will even take us to change their peers. Of course, we have a lot of work to do. We have to address daily trading volume. We have to address the projects and deliver them on time and budget. We have to continue exploration, expand our resource and reserves, but there are many things that's happening very soon that can free us to start narrowing this gap of our price per NAV. And gold prices continue to be important. I would invite investors to do a quick mathematics. Last year, dollars $267 million of EBITDA. Now with 270,000 gold equivalent production, now gold prices are already $500 above what we performed last year. So that would add that at only for this with that $130 million of EBITDA, not included what's coming from Borborema and then later for other projects. So we are very much, doing record high results, and we should continue to break record high results along the next years. So I thank you all. We will work hard to continue to deliver the project on time, to continue to deliver stable operations, and also to address the daily trading volume, which for those that can enter in and out again very fast, it's a very good window and opportunity because once we address those issues, the gap of NAV will be narrow. So thank you all and see you on the next part.
Operator: Thank you. Aura's conference is now closed. We thank you for your participation and wish you a nice day. [Operator Closing Remarks].